Operator: Good day, ladies and gentlemen, and welcome to the Q1 2019 Overstock.com, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions]. Also as a reminder, this conference call is being recorded. At this time, I'd like to turn the call over to your host, Greg Iverson, Chief Financial Officer. Please go ahead.
Greg Iverson: Good morning and welcome to our first quarter 2019 earnings conference call. Joining me today are Dr. Patrick Byrne, Founder, CEO, and President; Saum Noursalehi, CEO of tZERO; Jonathan Johnson, President of Medici Ventures; Seth Moore, Chief Strategy Officer; and J.P. Knab, Chief Marketing Officer. Let me remind you that the following discussion and our responses to your questions reflect management's views as of today, May 9, 2019, and may include forward-looking statements. Actual results may differ materially. Additional information about factors that could potentially impact our financial results is included in our Form 10-K for 2018 or subsequent filings with the Securities and Exchange Commission and in the press release filed today. Please review the forward-looking statements disclosure in Slide 2 of today's presentation. During this call, we will discuss certain non-GAAP financial measures. The slides accompanying this webcast and our filings with the SEC, each posted on our Investor Relations website, contain additional disclosures regarding these non-GAAP measures, including reconciliations of these measures to the most comparable GAAP measures. With that, I will turn the call over to Patrick.
Patrick Byrne: Thank you, Greg. This is our agenda for today, a nice tight agenda we have lots of developments to be discussing with you. So let's get to it. Jonathan?
Jonathan Johnson: Okay. Thank you, Patrick. Slide 4, our shareholders will remember that on our last earnings call, Patrick explained how Medici's business initiatives are developing and advancing a blockchain tech stack for society with a new focus on our government as-a-service model. Next slide please. Medici is creating or fostering a set of products and solutions that leverage the transparency and immutability of blockchain technology. These products do and will generate efficiencies and increase security and control in the six areas listed on the slide that are part of Patrick's vision. Next slide please? To execute this vision, Medici Ventures has put together a Keiretsu or network of companies that can work together in performing different functions. Sometimes we [indiscernible] companies to bring into the fold. Other times, we started companies from scratch. What's important is that each company is focused on getting blockchain products into production. Next slide please? During today's call, we will highlight what three of these companies are doing, not just talking about doing but actually doing in the blockchain space. As we have in the past, we will start with tZERO, Saum?
Saum Noursalehi: Thank you, Jonathan. tZERO is executing and gaining momentum. We have some nice wins to discuss and more coming in the months ahead. Next slide? On our last call, we presented the next critical milestones for tZERO. I'm going to provide a detailed update on each of these items. Next slide? Our first milestone was to onboard quality issuers, and 1a) we just signed an LOI with Emaar, the developer of Dubai's iconic Burj Khalifa and the Dubai Mall for a very substantial tokenization Project. 1b) by the end of the month, our trading platform will support trading of third-party tokens from the issuance platform known as Securitize --
Patrick Byrne: Which is really the leading --
Saum Noursalehi: Issuance platform.
Patrick Byrne: Issuance, yes.
Saum Noursalehi: And 1c) we're in the process of migrating tokenized share of Overstock preferred shares OSTKP onto tZERO's trading platform. Trading for these shares will go live in June. Patrick, did you want to add anything on that?
Patrick Byrne: No, that sounds great.
Saum Noursalehi: Next slide? Expand token investor base and really boost liquidity. 2a) we signed a contract with broker-dealer ETC to allow clients to trade our security tokens. 2b) by the end of the month, tZERO will file to become our own retail broker-dealer. And 2c) we are in discussions with other BDs interested in trading our assets. And this was one of the big benefits of the acquisition of SpeedRoute is we have relationships with over 150 broker dealers and many of them are already expressing interest in trading security tokens.
Patrick Byrne: And if somebody is already integrated into -- if a broker-dealer is already integrated into SpeedRoute how much work is it to bring up our security token ecosystem?
Saum Noursalehi: It's less than weeks we can bring up an additional broker-dealer even probably a couple of weeks. Now that does need regulatory signoff but the technology makes it very easy to do that.
Patrick Byrne: Okay.
Saum Noursalehi: Next slide? International which is our software-as-a-service play. We want to replicate what we've done in the U.S. with our joint venture with FOX internationally. So what we've done 3a) is get our technology ready to offer as-a-service to other exchanges and so all that technology work is done. We can offer it to exchanges around the world. 3b) we're in discussions with several exchanges in Europe, Asia, and in Canada, and those discussions are ongoing. Next slide? On this slide, you see mock-ups of our Crypto Trading App which is on track for a June launch. So initially this will trade just Bitcoin and Ethereum but--
Patrick Byrne: And maybe Raven.
Saum Noursalehi: And potentially something else Ravencoin. And but down the road, this app is really going to evolve and be the foundation of our brokerage trading system which will include both digital and non-digital assets. So while it starts with Crypto, it's going to evolve into something much bigger.
Patrick Byrne: So in that respect, it is something like Robinhood only better and a different business?
Saum Noursalehi: Right.
Patrick Byrne: Different business model?
Saum Noursalehi: Although with security tokens and digital assets.
Patrick Byrne: Yes.
Saum Noursalehi: Next slide? Other initiatives 5a) the next phase of our digital locate receipt product is on track for August and the team has been meeting has built out a nice roadmap and we're looking forward to that launch. 5b) we're targeting an end-of-year launch for the BSTX, the Boston Security Token Exchange which will be the first national exchange for trading security tokens. Next slide? Lastly, we'd like to show you again chart of our updated product roadmap. Note that we recently completed the issuance platform tokenization technology which is circled in the dotted blue line. Again this technology will be used to create token contracts on the blockchain for issuers using our token standards.
Patrick Byrne: I love this; I'll just drop in here and mention I note that sometimes people actually tell me that the rumor is tZERO they don't know if they're actually getting anything done. And I find that hilarious because I've never seen a company that puts out its product development roadmap and against our - and Saum has been hitting - Saum’s been running this for the last year and has been hitting knocking these down just exactly on time.
Saum Noursalehi: Great. With that, I'm going to turn it back to Jonathan to talk about the other Medici companies.
Jonathan Johnson: Thanks, Saum. As our shareholders can see tZERO has made and is making significant progress in just a few weeks since we last talked to you. tZERO is proving its great potential to use blockchain to revolutionize capital markets. Many of the Medici Ventures companies have the same type of revolutionary potential. Most have made progress over the last quarter's but because of limited time I'll now briefly focus on two of those companies GrainChain and Voatz. Next slide? GrainChain is a Texas-based company with a blockchain platform for the agricultural business, it's transforming the way in which farmers, buyers, and grain elevators operate. GrainChain's platform ensures prompt payment to suppliers and farmers and it facilitates the immediate availability of tradable commodities to buyers. Through certification and accountability GrainChain's products mitigate fraud and corruption and streamline procedures for everyone involved in the market. Now historically the process for recording grain and its movement throughout the supply chain has been cumbersome and inefficient often with lots of mistakes along the way. People would need to record data by hand such as the grains weight, its condition et cetera, perhaps worst of all approximately 30% of the world's grain rots in part because of poor processes. GrainChain recently announced that the Mexican State of Tamaulipas, the largest producer of Sorghum in Mexico now supports the incorporation of GrainChain's blockchain technology for the tracking of grains. This Mexican state will utilize GrainChain's blockchain and the Internet of Things software to bring clarity to the way grain is tracked from the farm to the marketplace. This is a blockchain product in production that will help farmers to be paid more quickly, and GrainChain elevators better track supply, real product in production to improve people's lives. Next slide? Let me turn to Voatz, a Boston-based company using blockchain technology to provide a safe and secure mobile elections platform. On our last earnings call, I talked about how the City and County of Denver would be using the Voatz applications to provide mobile voting, secured by blockchain to deployed military personnel and other overseas United States citizens during the upcoming municipal election. That election closed on Tuesday and Voatz ran well, the mandatory five-day audit is ongoing; this was great work and great news for Voatz. What's next on Voatz's roadmap is more states and municipalities see how easy it is to use the Voatz product. I expect to see its adoption continue to grow and I expect to see cities and counties using the Voatz product to help the disabled more easily, safely, and securely vote. Next slide? Medici Ventures is building a solid Keiretsu. These companies are getting blockchain product into production and those products are being adopted more broadly and used in more ways that are improving people's lives. Going forward, we will keep our shareholders [indiscernible] of its products and as our government-as-a-service model take shape. Patrick?
Patrick Byrne: Thank you, Jonathan. Let's turn to retail. We've got a lot good news to discuss in retail. Next slide? The retail, the course has corrected, and I'm going to turn it over to Seth Moore.
Seth Moore: Great. You will recall from our last earnings call that we said we would return to profitable growth focusing on contribution, expense structure optimization, and repairing or rankings in natural search. We're pleased to report that we're trending ahead of plan on all three fronts with contribution growing north of 110%, our G&A structure having been reduced by roughly 25% through a combination of eliminated redundant software licenses, improved automation and reduction in headcount, and our SEO rankings have improved throughout the month of March. As a result, our ad spend was more efficient than we had forecasted for the quarter. Our site converted better and our gross margins came through more positive than we had anticipated in the middle of the quarter. On Slide 21, we expect to see continued improvement for several of these initiatives like expansions to our AI automation, improved personalization and site experience through our focus on CRM, and also improvements in the monetization of our site traffic through new ad tech. For more color on that, let me turn it over to J.P.?
J.P. Knab: Great, thanks Seth. We're really excited about this project. Our current ad tech has two limitation, lag time and the ultimate relevancy you can achieve. We've had 10 teams across the company building a new ad tech which went live last week in Alpha. This solves those two problems and allows us to open a far more valuable real estate to our club partners and better monetize our tens of millions of monthly visitors. The machine learning layer which handles both the auction and the relevancy ensures that experience stays relevant to our consumers. Our estimate is that this additional real estate will be at least five times more valuable to our club partners. This is not only a huge win for our partners but will have strong impacts on our bottom-line results as it ramps up this Q3 and forward.
Patrick Byrne: Let me mention on before we move on just on machine learning and AI. I've mentioned before that in our 19 years, we've seen a number of revolution in digital marketing and the Internet and some of them we caught and we're early in and some of them we were -- we didn't catch the first wave. AI and machine learning we caught and we built a great team one run by our fabulous woman here and we have probably integrated it to about 30% to 40% of the places it needs to integrate throughout the company and is just utterly a game changer for us. So Seth, go ahead.
Seth Moore: Great. You'll also recall we mentioned in our last quarterly call that gross margins in Q4 and Q1 were suppressed year-over-year as we rebalanced freight lanes and carriers to improve efficiency. But these changes -- we're pleased to say that we believe we are ahead of schedule [audio gap] benefits of reduced shipping costs in making those transitions. And think that this will provide [audio gap] than we anticipated six weeks ago. So let's jump to slide 22. Slide 22, the result of all of this is that the quarter ended at $39 million in contribution more than 110% ahead of last year and $2 million better than we had forecasted on our last earnings call. This improvement since our last call is largely attributable to more efficient ad spend rates and better gross margins as a result of our supply chain optimization initiatives yielding more benefits in quarter than we had expected. So let's go ahead to Slide 23. With our expenses trending on plan, this means we finished the quarter $2 million better in adjusted EBITDA than we had previously forecasted and at near breakeven levels for the full quarter on a retail standalone basis. So let's jump to Slide 24. I would add that in addition to this better than expected improvement in contribution, the quarter also represented our first double-digit contribution mark, Q1 of 2017 in spite of the fact that the carry and freight lane transitions are creating significant headwind in gross margin this quarter.
Patrick Byrne: I'll jump in. And I just want to emphasize that so even with that headwind, we have our contribution margin back into double-digits and that those changes in logistics are going to pay big dividends in the second half of this year. And I want to jump again on that in the lower left hand corner contribution, I told everybody in the last conference call that this was going to be a year of extraordinary growth in contribution which is gross profit minus advertising costs which is really what everybody in the Internet runs to and manages to and optimizes to and that 111% increase is actually above plan for us. And this is the year of again very high growth in that number to get us back to profitability, okay.
Seth Moore: Great. Let's jump to Slide 25. So one of the biggest reasons that we were able to overcome that gross margin headwind and post some significant contribution gains can be seen on this slide. After sequential month-over-month declines in natural search rankings for 15 out of 16 months from early 2017 through Q3 of 2018, we've now posted seven consecutive months of sequential month-over-month growth. Again that's to say these are not year-over-year numbers. These are month-over-month improvements showing steady improvements in SEO rankings every month since September. This trend of improvement is helping us reduce our reliance on paid media and focus on targeted acquisition of high-value customers with our marketing dollars. It also is a leading indicator to the strength of our retargeting programs, display, and email which we believe will continue to strengthen as the year goes on in tandem with these ranking improvements. And I would add while we've seen incredible progress this year, we still believe we have a lot of room left to grow. We by no means think we've maxed out the gains available to us in SEO. So let's go ahead and jump to the next slide, here you'll see we have also experienced tremendous growth 32% year-over-year in paid Club O memberships. And the percentage of our sales coming from Club O is now well over 25%. These members are extremely loyal and worth a multiple to us of what a standard customer is because of the growth in this loyalty program, it means we can be more targeted in our acquisitions rather than doing expensive and continuous reacquisition, the way so much of the Internet operates. We think this is really key to maintaining long-term profitable sustainable growth. So let's go to Slide 27.
Patrick Byrne: Okay. So last time I spoke to you we were just coming up on the point where those lines crossed and now we've passed through them and what that means is that we're generating in contribution that is gross profit minus advertising more than enough to cover our actual expense structure. And that's a magic point to be -- that's a magic point to be and I remember somebody asked a couple of quarters ago did they think we could even in two years get back to this point and I had to laugh because I actually knew that we were getting back there in February or March. But anyway we have recovered, we have readjusted our expense structure and we have our contribution soaring again. Next slide. I will just compare that to the competition and their march to profitability, when those two lines cross on the right is when our competition will reach profitability. We have and of course our competition has other things just go for, it's growing a lot faster and it's earning billions of dollars that we don't have. My point in putting these updates now there's a lot of great and worse things that could be said about the company on the right. One thing that we said on the company on the left is that business model where the where the contribution exceeds the expense structure, is a sustainable business model. You can do that forever. You can keep your nose two inches above the waterline forever. You can't keep your nose two feet below the waterline forever. But maybe there's a plan there that has -- that I've missed today. Anyway let's go on to the next slide. This puts us in the point of actually raising our guidance. You know it's been quite rare in our history we've given any guidance and when we do it's about specific numbers. I said that last time, we spoke that you could expect us to be hitting contribution of $160 million to $180 million, we're now raising all that $5 million. And that means that we're raising our guidance for adjusted EBITDA for the year up 50%. We're taking it from $10 million to $15 million with a bullet as they would say in the Top 40 because I think that you will see that number quite possibly slide up over the course of the year. But all that said we were taking our guidance up to $15 million for the year. Next slide? Really pleased to report Dave Nielsen is becoming today the President of Retail. He joined us 10 years ago. He's worked -- he is a real professional from the world of retail and worked with us for seven years, left for three years was the CEO of another company came back and has been a great partner for the last six months. And a lot of this restructuring and rejiggering of the company and I know the whole company celebrates that he's now replacing me as President of Retail. Next strategic alternatives. Seth, why don't you take it?
Seth Moore: Yes, we mentioned in our last several calls that we're exploring strategic alternatives for the retail business including potentially hybridizing with a national brick-and-mortar rather non-retail web property because we believe that in the long run hybridization is a superior model to go it alone, pure play, e-commerce, and the home goods industry. We have also said however that we're going to run the retail businesses that we're going to hold it forever and optimize its cash generating value. Unsurprisingly, the positive cash flow trajectory of the business has attracted the interest of additional prospective buyers, interested in our technical capabilities, dropship supply network, and low working capital cash generating model. As a result, we feel -- we maximize shareholder value by facilitating their diligence and entertaining their interest before making our final decision among strategic alternatives.
Patrick Byrne: Slide 33, GSR. I'm delighted to report that GSR and tZERO executed an investment agreement; they are just putting in $5 million in cash and marketable securities. The transfer is in process and that's at a billion dollar post-money valuation. And we're letting them out of all previous contracts, agreements, LOIs et cetera and now they are -- we're continuing with Makara and GSR may continue to -- may proceed to be involved in that Makara deal. But in the meantime, we got $5 million out of this for all for a year of a lot of frequent flier miles. Let's go to 34. Now Makara has, is an independent fund, it's independent of GSR. It is Makara's in Singapore, they continue to do deep due diligence on us, on our business model, our intellectual property, we can't comment that there is going to be an investment made. They are -- they have the behavior of a serious and professional fund. And we remain engaged to our advisors with them. And Jon, discussions are daily.
Jonathan Johnson: Yes. So we keep, we are working closely with Makara, our advisors are talking to them, their diligence is real. And we are moving forward and sometimes it can take longer than we're in halt but it's moving forward. So next slide 35.
Patrick Byrne: Liquidity. Our cash balance was $120 million on the balance sheet but actually in the days immediately after the end of the quarter, we finished the ATM, so really another $20 million. We feel good about that $140 million because of the changes Greg made in the payment schedule this is not directly comparable with previous years because the highs and lows, the amplitude between high and low has been drastically reduced. So we feel quite good about this and it is my constraint that I'm operating in that, I think retail is will be doing as I've said this year and next year, we'll be back into place where we're just spitting out lots of cash and the whole blockchain side of the business will be structured, so that next year just the cash that retail spits out supports the blockchain side of the business. So as a worst case, we're all good. Now if anything happens after that like there is financing and capitalization of some of these blockchain companies where tZERO turns into the oil gusher that I think it is then that's all crazy. Seth, you want to add?
Seth Moore: Yes, I want to add a point of clarification on that. But the way most e-commerce companies' payment cycles work, they have negative working capital cycles where they get paid by consumers but then pay the dropship vendors on a delay. And most companies make those payments call it once a month on the first of the month. So at the end of every quarter, they're always at their cash peak. So their publicly reported cash numbers are the highest numbers, their cash ever reaches. We've reduced that amplitude between the peak and the valley before and after payment cycles this quarter. And so this isn't directly comparable to previous quarter and the cash reporting cycles we've issued and is actually a significantly higher average cash balance than what we've reported in previous periods.
Patrick Byrne: Right. Okay, next slide. So to summarize, retail has come back, it's come back enough, we're raising our outlook for the year from $10 million to $15 million. It has come back both because we've radically revisit our expense structure because the machine learning is kicking in across the business. It's driving ad spend efficiency frankly. I mean the machine learning is doing very, very well at things that a decade ago we were proud that we were getting PhDs and asked to do turns out machine learning can beat them all and our site performance has never been better. So you see in the Alpha through Echo on the bottom row you see these graphs such as the return -- the V shaped return of our retail bottom line where we're, we have [indiscernible] we have crossed the line back into where gross profit minus advertising expense covers the cost of running the business. What we expect that contribution to be and hence our bottom-line to be is going up and hence we're raising guidance for the year. In delta, you see this product roadmap from Saum and tZERO and that's really the main event. I have to say this is -- while it's important that we've got retail back in, back to the point where it's adding, it's generating cash. At the end of the day, we see now that tZERO is this enormous opportunity. And the fact that we've laid out for almost a year now these roadmaps have been hitting all these marks, I think has been somewhat unnoticed. And under Eco, there is the tie right to that Jonathan has assembled and I think there may be nothing like it in the world, if there's anything else there's only one other thing like this in the world. So with that said of comments and charts, let's turn to questions.
A - Jonathan Johnson: Great, thanks Patrick. So we have about dozen questions come in and I'm going to take it in the order of the companies that we presented. And we will start with tZERO; Saum, someone has asked about updates on timing of opening the ATS for trading for tZERO tokens all investors not just credit investors.
Saum Noursalehi: Yes. The lockup ends in August, so I believe it's around mid-August when it opens up to the masses for trading our token.
Patrick Byrne: And that's not a technology limitation, that's a regulatory.
Saum Noursalehi: Yes.
Patrick Byrne: Limitation.
Saum Noursalehi: Due to the Reg D offering we did.
Jonathan Johnson: Great. And can you give us an update on the Box joint venture foreign exchange?
Saum Noursalehi: Yes, the technology for the joint venture is complete, so BSTX is essentially licensing the tech that we had built for ATS, a separate version of that. And there's been a lot of work done on building a rulebook for these digital assets and how to treat them. And that draft of that rulebook has been submitted to the SEC and so we're awaiting their response.
Jonathan Johnson: Okay, thanks. So on Medici front, the question came in about, Medici Ventures has just hired a new Chief Technology Officer. What's his role and will he influence the strategic direction of Keiretsu and why or why not? So Jeremy Smith is our new CTO. He is a great hire, wonderful manager, great technologist; he will influence the strategic direction of the family of companies to the extent that they're using Medici Venture developers. Several of the companies in the family have their development work done by Medici Ventures. Jeremy is intimately involved in all of those. Our Keiretsu companies come to Salt Lake a couple of times a year, they hear what Jeremy is thinking about technology, so there's indirect influence on a broad scale and direct influence on specific companies. The next question and I will just read this as it came in asked for an update on the Mount Rushmore of Medici Ventures companies' tZERO, Bitsy, Medici Land Governance, and Voatz? It is an interesting way to refer to them. We've given our pretty fulsome report on both Voatz and tZERO; they've continued to work closely with the Eastern Caribbean Central Bank. That project is moving forward. The development of that project is happening here in Salt Lake with the Medici developers taking the lead. Medici Land Governance continues to be around the world. The product -- the projects in Africa, Mexico and Wyoming are going well. I think we can expect other announcements from Medici Land Governance in the next weeks and months.
Patrick Byrne: All right. We will make a comment on that too. I've just been so I've described in previous calls the government-as-a-service, the blockchain, tech stack. I've just been in Washington D.C. with World Bank and African Development Bank and Inter-American Development Bank and -- and -- and a whole bunch of ministers from foreign countries. Everybody wants this. I mean we're really at the point where we're trying to decide what country is the country to make as to take I will say prototype test bed for these technologies. But there is so many countries reaching out for this tech stack or slices of it, that we're really in the catbird seat for that. And Medici Land Governance in fact, well I think you'll have it. You may have some significant announcements in the next week. It's just amazing to me the size -- the scale of that business maybe even bigger than tZERO.
Jonathan Johnson: I will say it's pretty interesting the heads of states and the ministers that we're talking to various of the Medici Ventures company is pretty exciting. There's a question last quarter, Jonathan you said most of the Medici Ventures companies were generating revenue. Can you elaborate on that? That continues to be the case. Sometimes it's small start-up revenue. We have got a small start-up company, other times it's growing into more. We don't provide particulars on those other than the ones that are in the 10-Q because we consolidate. We're pleased with the growth of most of the Medici Venture companies. Last Medici question is can you give us any thoughts on security token offerings for more of the Medici Ventures companies beyond tZERO? And I would say and Patrick I don't know you want to put -- add to this but I would say that's something that once the next steps of the 2.0 roadmap is built out, many of the Medici Ventures companies are looking at, we're not going to -- we can't be in a place to force any of them to do that. This is a great way for them to lower cost.
Patrick Byrne: I agree. There is a great way of having to capitalize up and there's a lot of things in there that that security tokens maybe great for and we're working with all kinds of those three companies around the country that are trying -- two and one in Asia at least, who are trying to bring security tokens to REITs for example and disrupt that industry. There is a -- there's somebody in Hollywood who wants to bring security tokens to Hollywood financing and disrupt that. And commodities and energy and et cetera, et cetera. But so we're -- Saum has really built the crossroad that that people are coming to. And so basically all these -- all the security token work that you hear really around the world say people are coordinating with Saum and what's going on in tZERO, I'm not sure that's even an exaggeration.
Jonathan Johnson: I think this is a perfect example of the benefits of a k-rat. That's a Japanese term where there are companies have interlocking ownership that can work together to their mutual benefit. And I think that's going to happen with tZERO is this we have this platform.
Patrick Byrne: And I think that one of it is right. And I think that besides it getting into the world of reach and besides getting into the world of Hollywood, finance and all these other things, a great application for security token is going to become in Reg A plus offering, small company offerings. And so why not use get along the model of Jonas saw. Let's use maybe we have a couple of our small blockchain companies do very small offerings on tZERO and in the process, we develop whatever needs to be developed to support Reg A offerings for small companies.
Jonathan Johnson: Okay. Turning to retail. Question number one, what gives you confidence in your ability to generate positive sales growth while significantly scaling back your investment spending in the region? I'm not sure that question makes a lot of sense forward actually do you think do you want to address it?
Patrick Byrne: I know that we can, again I'm taking growth this year to meet contribution dollars. And I said we could grow it from whatever I said last time 80 to 160 but I really think it's 80 to 185 or 200. I'm estimating but I'm confident that we can scale -- that we can grow dramatically those contribution dollars this year and next. And that's the key. That's the main thing of that. At this point I'm not in the game of trying to slug it out with a competitor who is -- who lost over $500 million last year and who lost $150 last quarter and who lost $2 billion in the last six, seven years. I'm not going to slug it out with them. We're going to have a company that spits out $50 million -- a retail company that spits out $50 million a year. I'd rather have that company than worry about chasing a top-line again and having a company losing the kinds of money, we would have to lose to compete there. Seth, you want to add something to that?
Seth Moore: Yes. In terms of we gave the guidance that we would return to slight growth in Q4 of this year for top-line sales. The way we can continue growing contribution like Patrick said while posting those positive returns is through significant improvement in SEO and then retention on the other side from Club O. We showed you those numbers with massive improvements in the loyalty program more than 25% of revenue there. You don't need big marketing dollars to keep the members of your loyalty program active. And likewise SEO as the traffic feeder into your retention channels doesn't require big advertising investments. And so that's really the growth engine for the company going forward both from a contribution standpoint and also from sales standpoint.
Jonathan Johnson: Okay, next question and I'm watching the clock. Where are you in your efforts to improve SEO, you talked about that a little bit that's what [indiscernible]?
Seth Moore: Yes, we’ve made great improvement there. March was again another big positive sequential month-over-month in rankings. And if you look at it, we still have lots and lots of headroom; I think we can easily double what we have in SEO from where it is here. And that's just getting us back to where we were in 2017. And so I think, we have a lot more months of improvement in front of us. And I think that has the potential to be a growth engine for us for the next year or two to come.
Jonathan Johnson: Great. J.P. next question maybe be best directed to you. First of all Wafer has indicated it' been 2% of its budget on direct mail and 15% on TV. How does that compare to Overstock allocations and how do we determine our allocation?
J.P. Knab: Direct mail, we spend below that 10%. We have found that direct mail while I can give you some pretty quick revenue balances early on has an uncertain return to the bottom-line in longer windows. So we haven't invested heavily as Wafer has here. We're about the same ratio on TV in that same range. The way we determine that is we've a top down media mix model that bounces up against a bottoms up or multi-touch attribution model. We then use a layer of incremental testing with all the major players in this space and that triangulates into what we see as our optimal mix.
Jonathan Johnson: J.P., I'm glad you're over those budgets.
Patrick Byrne: I was just thinking this is Commander Data. And yes, I was just thinking the same thing.
Jonathan Johnson: Patrick, we're out on the same page. J.P. I have next question cornered for you too. Pinterest just went public, how does Overstock use Pinterest and how has that changed over time?
J.P. Knab: Yes, Pinterest has one of the earlier touch points with consumers. So if we look at an average conversion window, they are more than the 30 to 45 day windows, so a little bit longer than other players. So we often work with Pinterest, we had a great relationship with them. They get an early read on what's the customer looking for, what type of home category and we work with them to then translate that into our experience on our site that will build on the product they're looking for. So great relationship with them. We have a good budget with Pinterest and continue to find more ways to advance that.
Patrick Byrne: We have a huge budget --we have a huge budget with Pinterest. I will mention that year-and-a-half, two years ago we told you about an innovation, we had discovered in marketing and we're using it and we're not going to disclose it because we thought it was so good and it really was Pinterest. It was Pinterest and social media because it's shifting. People go to Pinterest 30 days before they buy to get inspiration, they go to a search engine eight days before they buy and we decide -- we learned that it was fairly underpriced really reaching people through there was as yet underpriced. And so I think we've been -- J.P. has been an innovator in moving us up that funnel to -- and the work we're doing with Pinterest like frankly the work I hear us doing at Facebook and Google I'm constantly being told by people in these other companies that the work we're doing is at the very leading edge of the work that they do.
Jonathan Johnson: Great. How is international sales progressing? Seth, you want to tackle that one?
Seth Moore: Yes, I would say probably the biggest callout for international is that during Q1, they split to posting a part of the contribution for the business. So they're creative to the contribution of the company which is unlike many of our competitors who lose truckloads money out of their international businesses. And so, yes, the international business continues to progress. We continue to get deeper penetration into Canada and we're doing it with positive contribution benefits to the business overall.
Jonathan Johnson: Okay. Amazon just went to one day Prime for Prime could we go one day if necessary?
Seth Moore: So one thing I would call out with Prime and shipping timeframes, you will see almost no furniture inside of Prime. And the reason is large inventory and particularly home goods tends to turn on a much slower pace and it's also very large in terms of space requirements. So going from two days to one day shipping means you need a large multiple of the number of nodes with inventory in them to manage that which means there's an exponential cost addition to having slow turns. That's why Amazon does not carry lots of furniture in Prime or Rugs or other home goods. It's also why even other home goods players who try to do it end up stocked out in so many locations that they still don't get nationwide footprints with two day or one day shipping very frequently because the inventory management exercise is so difficult. That said we are making huge progress with our third-party logistics program to our dropship suppliers. We can now out of three warehouses because of the innovative things we're doing in freight ship home goods into a two day shipping zone to 98% of the country, out of three nodes with a much more limited inventory base than what our competitors are able to and we're seeing great returns and great adoption in that program that's helping drive some of the supply chain efficiencies, we've been referencing throughout the call.
Jonathan Johnson: Okay. Thank you, Seth. Last question for retail, advertising on e-commerce platforms is becoming commonplace. If Overstock's start doing that and what do you want to?
J.P. Knab: Just a couple of potential definitions of e-commerce platform. I'm going to assume they mean other pure plays or other retailers here. We do -- the way we evaluate it is if an e-commerce platform has unique access to a customer that we couldn't get through another method, we will consider and place product there to get that customer that unique approach to get that. Now we're careful in both trying to obtain consumer information, so we have options we target as well as making sure that that is a healthy relationship. But we do evaluate all e-commerce platforms or in many of them and have very specific guidelines about how we run those platforms, inside those platforms.
Jonathan Johnson: Right, okay, so that's all the questions that came in ahead of time. We appreciate shareholders asking questions. We remind everyone listening on this call that our Annual Shareholder Meeting is this afternoon at 1 P.M Mountain, 3 P. M. Eastern that's webcast, we will be taking questions during Q&A then. So we invite anyone who didn’t get their question answered this time to participate then. Patrick before we signoff, anything you would like to tell our shareholders.
Patrick Byrne: It's an honor working for smart shareholders and I think we have -- I think we're really filling the [indiscernible], you indicated this year. Let’s see this quarter -- this quarter even weeks you’re going to be seeing some remarkable products hit the world out of tZERO and that you may even see Overstock promoting.
Jonathan Johnson: Okay, thank you, Patrick. You went on an appetite. Shareholders thanks for participating, thanks for interesting your talking with us, we're working hard, we will talk to you in a quarter.
Operator: Thank you, ladies and gentlemen for attending today's conference. This concludes the program. You may all disconnect. Good day.